Operator: Good morning, ladies and gentlemen, and welcome to the Tractor Supply Company's conference call to discuss First Quarter 2024 Results. [Operator Instructions]. Please be advised that reproduction of this call, in whole or in part, is not permitted without written authorization of Tractor Supply Company. And as a reminder, this call is being recorded. 
 I would now like to introduce your host for today's call, Mrs. Mary Winn Pilkington, Senior Vice President of Investor and Public Relations for Tractor Supply Company. Mary Winn, please go ahead. 
Mary Pilkington: Thank you, Alissa, and good morning, everyone. Thanks for taking the time to join us today. On the call today are Hal Lawton, our CEO; and Kurt Barton, our CFO. After our prepared remarks, we'll open the call up for your questions. Seth Estep, our EVP and Chief Merchandising Officer, will join us for the question-and-answer session. 
 Please note that we've made a supplemental slide presentation available on our website to accompany today's earnings release. 
 Now let me reference the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. This call may contain certain forward-looking statements that are subject to significant risks and uncertainties, including the future operating and financial performance of the company. In many cases, these risks and uncertainties are beyond our control. Although the company believes the expectations reflected in its forward-looking statements are reasonable, it can give no assurance that such expectations or any of its forward-looking statements will prove to be correct, and actual results may differ from expectations. 
 Important risk factors that could cause actual results to differ materially from those reflected in the forward-looking statements are included at the end of the press release issued today and in the company's filings with the Securities and Exchange Commission. The information contained in this call is accurate only as of the date discussed. Investors should not assume that statements will remain operative at a later time. Tractor Supply undertakes no obligation to update any information discussed in this call. 
 Given the number of people who want to participate in the Q&A session, we respectfully ask that you limit yourself to 1 question. If you have additional questions, please feel free to get back in the queue. I appreciate your cooperation. We will be available after the call for follow-up. Thank you for your time and attention this morning. 
 Now I'll turn the call over to Hal. 
Harry Lawton: Thank you, Mary Winn, and good morning, everyone, and thank you for joining us today. 2024 is off to a solid start with first quarter results in line with our expectations. I would like to thank the Tractor Supply team for their ongoing commitment to each other and our customers. As evidenced by our continuation of record high customer satisfaction scores, the team is always there for our customers as the dependable supplier [ for ] life out here. 
 Before I get into our review of the first quarter's results, I want to take a moment to share what we're seeing in the macroeconomic environment and its impact on our business. In our view, the U.S. economy remains strong. Unemployment continues at a low level, wages are growing at a steady clip. In spite of sticky inflation, consumer spending remains strong, and mobility has slowed as a consequence of a challenging housing market, with that said, we continue to see outsized population growth in rural markets. 
 As it relates to consumer spending, the shift of spending from goods to services continues to be a headwind for our business. In the first 2 months of the calendar year, consumer services spending growth was nearly 7%, whereas consumer spending on goods growth was less than 1%. As a result, the mix of goods as a share of PCE are now only 100 basis points above their pre-COVID average. This progressive shift is in line with our expectations as we enter the year. 
 Also, as expected, inflation has remained sticky by outsized increases in shelter, food, away from home, energy and insurance. As a consequence, consumers continue to be anxious about inflation, particularly the lower-income consumer. 
 In the first quarter, our upper income consumer over-indexed in big ticket categories and recreational purchases compared to our lower income consumer, who is prioritizing their spend on needs. 
 In our needs-based, consumable, usable and edible categories, we see very little difference in our performance by income cohort. Once again, our business is proving to be durable, stable and very consistent. 
 Broadly speaking, in our economy, goods continue to disinflate and are generally running low single digits with some categories having moderate deflation. With the first quarter behind Tractor Supply, we have now successfully lapped our 2 most challenging compares due to the inflationary benefits that we had over the last 18 months that have substantially benefited our top line. We do not see additional downward deflationary pressures in the current environment. The transition from an inflationary cycle to a disinflationary cycle is playing out as we anticipated. 
 In spite of a very challenging housing market, we continue to see positive migration trends to our markets. While rural migration trends have moderated from the recent peaks, rural America again gained population in 2023. This marks the fourth consecutive year of growth in rural population. It is our view that the sense of community found in our markets, and perhaps more importantly, the ability to secure a piece of property at a reasonable price has ensured the rural migration trend is one that's here to stay for the time being. 
 So with that, let's now turn to a review of the business for the first quarter. We grew net sales by 2.9%, with comparable store sales up 1.1% and diluted earnings per share up 10.9% to $1.83. Our comparable store sales growth was driven by transaction growth of 1.3% offset by a small decline in average ticket of 0.2%. These results were very much in line with our expectations that we shared with you as we started the quarter and year. 
 Overall, our customer base remains healthy and highly engaged. Total customer count grew mid-single digits with growth in active, new and reactivated customers as we invested in our Neighbor's Club program and customer service. 
 Neighbor's Club continues to represent the majority of our sales. During the quarter, we significantly enhanced our Neighbor's Club offering. As our points-based program enters its fourth year, it was appropriate for us to refresh our offering based on insights and customer feedback. The changes we made were all implemented with the goal to have customers receive rewards faster and to lower the spending required for tier qualifications. Our Neighbor's Club members have responded positively to these changes. For example, the new rewards redemption at a $2 and $5 level down from $10 is working as we designed and is driving greater customer engagement and trips for this cohort. The initial response from our customers on the collective changes has been very positive, and we're seeing increased spending across the board. 
 In addition, we continue to improve relevancy to our members through more personalized offers and tailored incentives and experiences based on their interest and shopping patterns. With more than 34 million members, Neighbor's Club should continue to build our customers' loyalty and affinity for Tractor Supply as we go forward. 
 Our customer service scores continue to run at all-time highs. This is an area where we have strategically invested in training, compensation, benefits, tools and technology to help elevate our customer service. This has garnered the attention of our customers, and I believe, helps strengthen our scores. 
 The strength of our portfolio products and shopping missions was evident very much so in the first quarter. We had robust growth in our seasonal categories. Our consumable, usable and edible products performed in line with our chain average. Our performance this quarter was on top of the robust growth we've experienced over the last 4 years as our CUE customer trends remain strong as we continue to gain market share. Our customers were certainly in the mindset to prepare for spring as we had strong big ticket growth in the mid-single digits and strength in other early spring preparedness categories. Categories that performed below our comp sales growth were more in our discretionary businesses such as clothing and gifts and truck tool and hardware. 
 In our pet food and livestock categories, we continue to grow our market share. In pet food, we've seen growth moderate as the category disinflates and pet ownership moderates. Our customers' shopping trip in this category is highly differentiated, so we offer a broad assortment from value to super premium across private and exclusive brands in a pet-friendly environment, which now includes about 900 Pet Wash locations. Additionally, pet owners benefit from the one-stop shop convenience of our lifestyle retail format, in particular, from the cross purchasing synergy with animal and livestock feed. 
 In animal and livestock feed, we offer exclusive brands like DuMORs and Producer's Pride, along with the national brands from Purina, Cargill, Triple Crown and more. We continue to innovate across our key categories of equine, cattle and poultry in trends like organic and snack. And we bring a unique retail experience in these categories with events like our annual spring Chick Days. This year, the event is on track to have strong results. We continue to see growth from existing customers who are building out and adding to their flock. Organic feed and our assortment of premium breeds continue to lead the category and growth. 
 Tractor Supply is the destination for backyard poultry. Today, nearly 2/3 of our backyard chicken owners consider them to be pets, and our customers over-index the poultry ownership with nearly one in five customers having chickens. 
 Stepping back, we have a market share of about 20% in bagged livestock feed, and we continue to take share, and we are consistently outperforming the market across our 2 categories. After nearly 2 years of pressure on our big ticket comps, we were pleased to see big ticket categories turn positive in the quarter. We experienced broad-based strength across seasonal categories, including zero-turn tractors, recreational vehicles and outdoor power equipment. 
 Our digital sales returned to double-digit growth in the quarter with increases in visits and an improved conversion rate. Nearly 80% of our orders were whether picked up in store or fulfilled by a store. Almost 20% of our sales came through our mobile app. The team made excellent feature update such as New Express Checkout feature and the addition of estimated delivery times, and these have helped increase our conversion rate. 
 This year, we're opening our tenth and largest distribution center in Maumelle, Arkansas. The start-up of the distribution center is right on schedule as shipping will begin during June. Once again, we'll be able to capitalize on the opportunity to realign the store servicing areas across the DC network to balance transportation costs and DC capacity while improving service levels to our stores. It is great for our DC network to have this new capacity to better position our inventory and better service our stores all the while allowing us to reduce our freight cost. 
 Our supply chain investments over the last 4 years have provided us with material structural gross margin benefit from the reduction in stem miles. 
 We opened 17 new Tractor Supply stores and 4 Petsense by Tractor Supply stores in the quarter. As I shared last quarter, 2024 will be the year of the Garden Center. We're leveraging the change of seasons across the store front as the year shifts to spring. The team has come out of the gate strong to ensure we have a differentiated assortment and availability in time for the planting season. We now have nearly 500 Garden Centers across the chain. Based on our early read of spring, our expectation is that with more variety than ever and a grower network to support our Garden Centers, we should see the customer respond positively this multiyear growth driver. 
 At Tractor Supply, we're grounded in our purpose as a company to serve life out here and our deep-rooted commitment to our mission and values. We believe in finding meaningful ways to support our core mission. Earlier this week, we issued our fifth annual stewards of Life Out Here Tear Sheet that highlights our Stewardship priorities and progress. 
 For all of us at Tractor Supply, we are highly committed to preserving life out here for future generations. We are proud to share our progress towards our ambitious goals. 
 In summary, we're relatively pleased with our start to the year. Customer trends are in line with our expectations. The team is executing very well. We're controlling our controllables and making progress on our Life Out Here strategy. With the majority of the year remaining, we are reiterating our guidance for fiscal 2024. 
 And with that, I'll turn the call over to Kurt. 
Kurt Barton: Thank you, Hal, and hello to everyone on the call. Let me start by building on to Hal's comments about the quarter. Our first quarter performance was right down the middle when compared to our expectations on both the top line and the bottom line. Regarding the cadence of comp sales for the quarter, we started out with a very strong January as the month features some spans of brutal cold. 
 While February was warmer than normal and relatively soft, the best way to view the winter season performance is to look at weather categories across January and February combined. And overall, we were pleased with our cold weather category performance. We comped positive in March in spite of a limited arrival of spring across our markets. Where this season had turned to spring, we were very pleased with how the business performed.
 All geographic regions performed in a tight band for the quarter. Average unit retail was impacted by modest product deflation of about 1% in line with our expectations. We're encouraged by the trends we are seeing in unit growth and the underlying share gains in categories where deflation has had an outsized impact to AUR. Our gross margin rate of 36% increased 50 basis points to last year. We were very pleased with these results, which were driven primarily by ongoing lower transportation costs, disciplined product cost management and the continued execution of our everyday low price strategy. 
 We were able to strategically provide great value for our customers while maintaining our gross margin. We remain committed to being the everyday low-price leader in our markets. 
 Our first quarter SG&A expense rate, including depreciation and amortization, increased 16 basis points to 28.2%. This increase in SG&A as a percent of net sales was primarily attributable to our planned growth investments, which included higher depreciation and amortization as well as the modest deleverage of our fixed cost given the level of comparable store sales growth. The leverage from our distribution center productivity gains did partially offset the loss of fixed cost leverage. Excluding depreciation and amortization, SG&A was essentially flat as a percent of sales. This was better performance than we anticipated entering the year as there were approximately $5 million of expenses that we had planned to occur in the first quarter that we now anticipate incurring in the second quarter. From my perspective, the team did a great job controlling the controllables. 
 Altogether, operating income increased 7%, with operating margin expansion of 34 basis points. Net income increased 8.2% and diluted EPS increased 10.9% to $1.83. During the quarter, we repurchased approximately 0.5 million shares and paid quarterly cash dividends totaling $118.8 million, returning $236.2 million of capital to shareholders. We also increased our dividend by 7%, marking our 15th consecutive year of growing our dividend. 
 Turning now to our balance sheet. Merchandise inventories were $3.0 billion at the end of the first quarter, representing a modest decrease of about 4% in average inventory per store. Lower freight costs was a contributor to the decrease in inventory dollars. Excluding freight in Orscheln, our comp inventory was up modestly in dollar value and units. We are pleased with how we exited the winter season and the quality of our inventory as of the end of the first quarter. In our commitment to be the dependable supplier for our customers' lifestyle, we are at the highest in-stock levels since pre-COVID. With strong annualized cash flows and improved working capital, we continue to maintain a healthy balance sheet with a leverage ratio of around 2x. 
 As Hal mentioned, we are reiterating our guidance for 2024. We anticipate this year to be a continued story of ongoing share gains offset by macro headwinds. We continue to expect full year sales of $14.7 billion to $15.1 billion and project comparable store sales to be in the range of down 1% to a positive 1.5%. As we manage through the first half of the year, we expect to see second quarter comp sales in line with our full year outlook. Given the trends in our comp sales, our outlook assumes that strength in big ticket and seasonal will continue. We are planning for a modest AUR pressure on CUE with positive unit trends. 
 Our expectation is that select discretionary categories will remain under pressure. For the second quarter, we expect gross margin expansion in line with the first quarter from continued supply chain efficiencies and benefits from effective cost management, partially offset by the mix impact of growth in big ticket, which runs below the chain average. 
 We anticipate the gross margin expansion to be offset by SG&A deleverage from our planned investments, including the incremental cost for the opening of our new distribution center. 
 As I mentioned earlier, there's approximately $5 million of shifting to the second quarter that we had initially anticipated in the first quarter, including staffing and training costs associated with the opening of the DC. As a result, we expect second quarter operating profit margin to be down slightly compared to prior year. 
 As I shared when we initially provided guidance in February, there are a few factors that will impact operating margin in certain quarters. We anticipate the tailwinds of lower transportation costs to continue to benefit our results in the second quarter and begin to flatten year-over-year starting in Q3. 
 In regards to SG&A, the second and third quarters will be pressured from the start-up costs for the new distribution center, while the supply chain benefits will not begin to be realized in gross margin until late in the third quarter. 
 To sum it up, for the full year, we continue to guide toward net income of $1.06 billion to $1.13 billion and diluted earnings per share of $9.85 to $10.50. With the majority of the year still ahead of us, we believe these expectations are still appropriate. We continue to believe that the best way to look at our business is not by the quarters, but by the halves of the year. 
 In this environment, what sets Tractor Supply apart is our ability to effectively manage the top line and bottom line while investing in our Life Out Here strategic growth drivers. And with that, I will turn the call back to Hal for some final remarks. 
Harry Lawton: Thanks, Kurt. Tractor Supply has a proven business model that has been resilient over many business cycles. As a company, we have numerous levers to continue to gain market share and numerous levers to effectively control expenses. Our Life Out Here strategic priorities are on track and delivering on our expectations. We continue to see fantastic opportunities for growth ahead. In store and online, we're ready for the spring and summer season. Customers are responding positively to our new product assortments from Weber, Toro, YETI and more. We have several product test and learn initiatives in store and online, like Martha Stewart and Eddie Bauer. 
 Across companion animal, we're adding to our assortment with new brands like ACANA, Real Mesa and Native Pet and expanding our offerings across brands like Purina Pro Plan, SPORTMiX and Hill's Science Diet. Our Garden Centers are set to help our customers prepare for their hobbies of gardening, especially with a focus on vegetables and fruit trees and just simply enjoying their property. 
 Across the seasons, we have new product offerings specific to the Garden Center. We're currently showcasing our roses, Plant of the Month, and are prepared with hanging baskets for Mother's Day. As we move into the second half of the year, we will shift to Fall Harvest and Halloween and then to Christmas with live goods and decor. Overall, this is a great way for us to track new customers and soften the front of our store. 
 Across the store, we have a tremendous amount of newness for our customers' passions and lifestyles. We also continue to invest in customer service at our stores. In addition to our Hey GURA app, to turbocharge service our store team members provide to our customers, we are leveraging AI in our stores and Garden Centers through our Tractor Vision, which uses cameras and computer vision technology to provide data to deploy alerts that help our team members efficiently and effectively staff the store. 
 One scenario where this is incredibly beneficial is when customer traffic is building up at our registers, Tractor Vision will alert team members through their ERP that another team member needs to come up to open another register. We're also leveraging Tractor Vision to monitor our front apron of the store for dwell time. This allows for a team member to better serve our customers particularly in categories like outdoor riding lawn mowers. These are the types of investments and capabilities that separate us from our farm and ranch competition and really make us a leader in retail. 
 It's an exciting time at Tractor Supply. My thanks and appreciation goes out to the team for their dedication to delivering our mission and values every day. And now we'd like to open up the call for questions. 
Operator: [Operator Instructions] The first question comes from the line of Seth Sigman with Barclays. 
Seth Sigman: I wanted to talk about the big ticket improvement. Obviously, that's a nice change from what we've seen. If I recall, when you talk about big ticket, you're looking at transactions over a certain size. Can you try to separate for us the difference between sales from high price point products, so you mentioned riding lawn mowers. Have you actually seen comps in those specific high-ticket categories go positive? Or is it more basket building, you're seeing the benefit from more units per transaction as part of the spring activity? 
Harry Lawton: Seth, thanks for the question. We were very pleased with our big ticket performance in Q1. I'll highlight 2 trends and then provide some examples in the context of each of those. The first one I'll highlight was in January, where we had the nice cold weather come through the country. And as a consequence of that, had some nice big ticket sales that go along with that as we often do, whether that's things like snow throwers or log splitters. And to your point, the cutoff that we use for big ticket is $350 price point. .
 But then the other comment I'll make is in the month of March, particularly the last couple of weeks where we start to see that spring ramp occur, we saw a nice lift in big ticket over those weeks. And we did highlight in the prepared remarks in categories like riding lawn mowers, outdoor power, we saw strong positive comps in those categories in those weeks. As we highlighted in the prepared remarks, we saw an over penetration in those purchases of higher income consumers versus lower income consumers.  As we talked about, just kind of buying a bit more towards need for the lower income consumers. 
 The last thing I'll add is that the trend on big ticket that we saw in March for spring sales has continued into Q2. 
Operator: The next question comes from the line of Simeon Gutman with Morgan Stanley. 
Simeon Gutman: My question is also on big ticket, and Hal maybe I can put it in this way, if you look at it relative to 2019, and I think we're trying to assess whether there's like a bottoming and a turn that's happening versus seasonal. I think your comments around the March volume sounds like there may be a turn. But if we compare it to 2019 or 2020, granted it's hard to understand what baseline is normal versus not, but looking at it that perspective, and then -- and if there's anything about these big ticket trends that informs you about the cadence of the year. It doesn't sound like it, and it sounds like the cadence has always been pretty static across the quarters, but anything that you think about maybe big ticket strength continuing into the second half that maybe you didn't plan for? 
Harry Lawton: Simeon. I'll reiterate a couple of the comments that I have on the previous question, just to tee up the discussion. So on big ticket, as it relates to spring, we saw nice big ticket ramp in absolute dollars and comps as we exited Q1 and those trends have continued into Q2, and we're very pleased with our big ticket spring sales. As we look at a multiyear history on that, if you recall, last year, we commented that our big ticket categories were back to 2019 levels. So I would articulate the growth that we're seeing now is kind of consistent and growth that would be on top of a normal -- go back to 2019 trend. So we feel like it's a healthy growth, compounding growth and very much in the kind of stable on top of 2019 levels. 
 The final thing I'll add is we called out numerous times, the drought conditions and the heat conditions that occurred in a number of our key markets the last 2 years, whether that's the Midwest or Texas, given the cooler weather that we've had and the nice precipitation we've had, grass is green across the country right now. And we all just returned from our executive walks across the whole country last week, and we all came back and kind of talked about the same thing. You've got really green grass, and it's growing well and the temperatures are staying cool. So the conditions are right for big ticket sales as well for us. But we're very pleased with the big ticket activity, strong exit in Q1 and continuing that pace into Q2, healthy on top of 2019 and the conditions are favorable for it as well this year. 
Operator: The next question comes from the line of Seth Basham with Wedbush. 
Seth Basham: I'm just trying to understand your inflation and deflation outlook a little bit more as we see a rise in oil prices here, do you think that could lead to any material inflation as we move through the year? 
Harry Lawton: Seth, good morning. As it relates to inflation, the -- probably the most important point to take away from us is that we've lapped our 2 most difficult quarters as it relates to comping on top of inflation. As we remarked at the end of our Q4 call, we were lapping 11% inflation from Q3 of 2022. And then we're lapping substantial inflation from last year in Q1 of 2023. So as we look ahead, we have significantly less lapping issues. 
 And, in particular, as it relates to things like animal feed, as we get towards the end of Q2, we really start to get back to a more normalized environment. And by the way, by the time we get to mid-Q3, we're in -- we basically lapped it all. So I feel really good as we look forward that we're kind of getting close to hitting the bottom on disinflation and starting to be back as we get towards the end of the year towards a more normal outlook.  
 We're not seeing anything different in our margin expectations, pricing expectations, cost to good expectations that we saw at the beginning of the year. As we've mentioned, we worked closely with our vendor partners middle of last year to pull back on a lot of the cost increases we've seen. That's been successful. You see that in our gross margin rate results. 
 At the same time, we're appropriately moderated on prices. Our pricing has never been sharper in the industry. We monitor that very closely, and we've got multi, multiyear trends on that, never been sharper than we had in Q1 and coming into Q2. And we don't see anything on the horizon that would change kind of our retail price, cost of goods outlook. We did just complete all of our container, kind of shipping negotiations. Those are basically coming in kind of flat to last year. So there's not -- we don't see headwind in the future there. 
 And I don't think that there's been a significant amount of oil, fuel kind of cost type increases to impact certainly -- first cost type at this point at all. And the freight market, given the status of the freight market and the overcapacity that there is, you had to start to see prices come up to reflect fuel in that area as well. So pretty stable, no real change to our outlook, either on this call or versus our last call. 
Kurt Barton: Yes. And Seth, this is Kurt. Just to tie that back to our guidance. As we entered 2024, I have said that we could see and are planning for 2024 from an inflation, deflation, relatively neutral, plus or minus a point. And we expect as we're starting to lap some of those inflation quarters last year, Q2 may have a similar impact as we saw in Q1. But then if you were to play out the current environment today, it would really put us in an expectation for the year sort of that neutral standpoint. And we'll know more on how the back half looks after Q2, but still pretty much playing right in line with our guidance. 
Operator: The next question comes from the line of Chris Horvers with JPMorgan. 
Christopher Horvers: I wanted to expand on the big ticket commentary and focus on what's happening with spring. Can you contrast what you saw in March in markets where spring broke? Where did it break? Where it hasn't yet broken? And how you're thinking about what's April telling you about the business so far in the quarter? 
Harry Lawton: Yes. Chris, we think where the sun has been out and conditions have been right, we've been very pleased with spring. Our big ticket sales are strong, our Live Goods are selling well. Our Garden Centers are performing, categories like grilling, other categories like fertilizer and grass seed, we're seeing real strength across the board when the sun is -- where the sun is out and conditions are right. Interestingly, in the first half -- in the first quarter, conditions were stronger, really more in the Northeast and the Midwest, as there was a decent bit of cloudiness and precipitation through the Southeast and over into Texas throughout the back of the last couple of weeks of the quarter. And that's, interestingly, kind of continue to bid into the second quarter. 
 But we feel very optimistic about the southern markets. They always turn in spring. And, you know, it's beautiful in Nashville today. But very pleased with our spring performance as we've headed into Q2 here. And we see Q2 really very similar to Q1, just right down the middle of a fair way. We expect Q2 to be very similar to Q1. And with the one notable call-up that Kurt had around, we think it's the bottom quarter for us on disinflation as it relates to CUE. But otherwise, it's kind of a streak down the middle, very similar quarter to Q1. And as I said, we're very optimistic and pleased with our spring start. 
Operator: The next question comes from the line of Steven Forbes with Guggenheim Partners. 
Steven Forbes: I think you noted 34 million members in the program, which is surprised to the upside here a little bit, at least as per our expectations. So I was wondering if you could maybe expand on the changes you made to the program. Is there anything sort of notable in terms of acquisition, maybe converting those non-Neighbor's Club members into members or repeat or retention trends that changed how you're thinking about that program membership evolving over time? And in any way to sort of size up what the true opportunity is for the 20% of sales that are coming from non-members today? 
Harry Lawton: We're very pleased with the continued progress we're making in our Neighbor's Club platform. And clearly, our customers are engaging in it and using it, finding value in it and it's a key retention driver and behavior driver for our business. And it's certainly become an integral part of how we go to market and a key area of competitive advantage for us. 
 This quarter, we were pleased with the number of customers that we added to the Neighbor's Club platform. I called out that we had new customer growth in the quarter. And that was, new customers are a key driver to Neighbor's Club program growth. We're very pleased to have a positive new customer counts in the quarter. 
 The second thing I'll call out as to your point, we made adjustments to our membership program to allow for a lower dollar increments to be redeemed in terms of points, both $2 and $5. We also modified our tier structure a bit to allow people to earn more dollars sooner. And the entire goal of that was to drive that opening tier and that behavior to get them more engaged as we talked about on these calls over the last 2 or 3 years, the best performance we've seen has been in our Preferred Plus tier. Second best performance had been in our Preferred tier. And our basic Neighbor's Club tier was really where we wanted to regalvanize that group, reenergize that group. And the changes we made, we saw a significant response to, and we're very pleased. And we've got a number of things on the horizon that will continue to help us grow that program. 
 As we called out at the beginning of the year, we've got a Heroes program that we'll be rolling out towards the end of the second quarter or beginning of the third quarter, right around July 4 time frame. We'll share more about those details on our next call, but that's a lot -- that's going to allow us to embrace another set of customers that we have, provide them incremental value, and we're excited about that. We've gotten great feedback from the customers that we've tested that with. 
 And we're also in the process of implementing a customer data platform that's going to allow us to significantly improve our personalization and that's time for implementation in the back end -- back half of the year. And that's going to allow us to just take our personalization, capabilities and our targeting capabilities to the next level, in which we already do an excellent job. I'd say market-leading job on that, but this just keeps the improvement there. 
 So great performance in Neighbor's Club in the quarter, new features being launched already that are going to keep driving that. And then we've got a number of new things on the horizon. And as I said, this is a distinct part of Tractor Supply and an area of competitive advantage for us. 
Operator: The next question comes from the line of Steven Zaccone with Citigroup. 
Steven Zaccone: I wanted to ask on gross margin. So given the guidance for the second quarter that it should be similar in terms of expansion. Can you just talk through the back half of the year because you start to face some tougher comparisons. Just talk through some of the expectations in the back half? 
Kurt Barton: Yes, Steven, this is Kurt. The gross margin drivers are very similar throughout the year, but yet, as I mentioned in some of my remarks, it has a bit of a difference in impact by quarter. So our biggest opportunity and biggest growth driver in gross margin will be, throughout the year, our transportation and freight. And in transportation and freight, it's both transitory or rate-related, where we are coming off of those higher costs, particularly in the ocean freight, but also the more sustainable is the structural where the new improvements in the supply chain, the distribution centers are driving down our stem miles. And even as we open up our tenth distribution center, we'll reoptimize the lanes and reduce stem miles, be able to optimize by finding the lowest better rates, and that happened with our Navarre, Ohio DC last year. 
 So those -- that will be the biggest driver. We'll start to lap in Q3, and heavily in Q4, some of the rate-related benefits. So it will begin to moderate on that aspect. But then on the other aspect of that is our cost management on our products. And there's really been a very disciplined strategic approach towards that, that began last year, but really, we started to see the benefit modestly in Q4. And our merchants and our vendors really partner together to drive down some of that cost. 
 And we're actually even creating some of that AUR deflation so that in our CUE categories, our key drivers, we're able to offer the best value and even better gross margin rate. And that's some of what the pressure that I mentioned on AUR is that we feel very confident that we're bringing the best prices in our categories, regardless of competition, and that's what's helping to really gain the market share. So for the back half of the year, transportation, cost management and lower cost drivers will contribute. 
 And then in the second half, the third item that will begin will be the supply chain benefits from the new distribution center. As the transportation costs are the highest one, that's why we've said the second half may be a slightly lower gross margin growth in the first half as we start to cycle it. But it's really been the main 3 things that will benefit throughout the year, but just beginning to less of a benefit on the transportation side in the second half. 
Operator: The next question comes from the line of Michael Lasser with UBS. 
Michael Lasser: Can you give us a sense for how the pet food category has been performing as of late? Have you been surprised that there's been general softness in these trends? And how has Tractor Supply's market share compared this quarter to the last couple of quarters, especially as it seems like the company has been taking more aggressive steps whether it's price investments, kinks to the loyalty program. 
 And then finally, there's been a lot of parsing of your words on quarter-to-date trends. Can you give us an explicit indication of what's been happening quarter-to-date, so we can understand if you have to see an acceleration from here in order to get to that down the fairway commentary about the second quarter? 
Harry Lawton: Michael, I'll comment first on pet. First off, I'll just step back on pet and say it's an incredibly attractive market. It's one that outperformed kind of the broader retail market for decades. It's been a long-term source of growth for us. And I think that the slowdown in that industry this year has been well documented, with that slowdown being driven really by 2 macro drivers. The first is moderation in pet ownership. And the second is stagnant pricing, right? That's an industry that's historically been able to claw 2 or 3 points of price increase every year, given the substantial price increases that have occurred in that category over the last 2 years, basically, that category is flat in pricing for the year.
 So you've got some moderation in the category just for this year. We have an incredibly distinct value proposition in that category. Our value proposition includes, I think, importantly, the co-mingling of purchases with animal feed. 88% of our customers have animals and pets. The vast majority has both. So they appreciate being able to shop for both their animal and pet food at the same time. We complement that key kind of portfolio advantage obviously, with customer service, with a pet-friendly environment now having over 900 pet washes, which by the way, we see nearly 50,000 pets a week in our stores, with pet washes, pet clinics, et cetera. And that's true, just animals in our store. 
 So we have a very distinct value proposition. We had all -- kind of publicly available brands, the international brands, but we also have 2 very leading private label brands. We cover the range of assortments. So incredible value proposition there, one that's distinct and I think in particular one that really holds up well in this market, given the various competitive dynamics that are going on, and as I said, but I want to reinforce, we are absolutely still taking share in that category, albeit at a lower growth rate because of the moderation in the category, but we are absolutely still taking share in that category, and we're only doing things to reinvest and lean in further to continue to capture that share. And as we look forward, we fully expect that pet will continue to be a long-term growth category for us and a driver of our overall growth. 
 As it relates to Q2, as I said, we expect it to be another just straight down the fairway quarter for us. We don't need meaningful acceleration to use your words to deliver that performance for the quarter. One of the things I already highlighted is that the last quarter of real material disinflation, particularly in animal feeds. So it would be great to have that behind us and our outlook takes that into consideration. And if anything, I think there could be some modest upside as we look ahead, if you look at our quarterly comps last year, we had mid-single-digit comps in the month of April and May and then basically dropped off to a flat comp in the month of June. 
 We can all recall June last year, it went immediately hot and you had the Canadian forest fires. Our outlook does not count on that performance improvement, but it's an opportunity should we get the right conditions for that month. 
Operator: The next question comes from the line of Scot Ciccarelli with Truist. 
Scot Ciccarelli: I know it's still a, somewhat, limited data set, but you talked about seeing good results from your Garden Centers where spring has broken. I know you guys have previously provided a framework for what you expect to happen. But can you provide any kind of real-time updates in terms of what you're seeing on actual results? 
Harry Lawton: Two things on that. So we've gotten so much better at sorting our Garden Centers, staffing our Garden Centers, putting technology at play to drive our Garden Centers would encourage everyone on the call, if you hadn't had a chance to go visit one of our Garden Centers in the spring to do so. We've got things this year like our Plant of the Month, as I mentioned on the call, which are Knockout Roses right now. We're deploying our Tractor Vision software into all the Garden Center stores to optimize and improve customer service. Our grower network now that we're in year 3 in many of these stores are now really lined up to produce tailored product for us. And we're seeing those results in our live goods sales broadly across our -- the country [ for us ], even in areas where conditions have been ideal, we're seeing good results there. .
 The team is doing things like, for Easter this year, for the first time, we brought any kind of in and out. We bought over 100,000 bulbs for Easter with a real nice packaging around and blew those things down. It just gives us even more confidence that we can execute in those sorts of ways. And so very pleased with our live goods and our Garden Center performance. 
 In addition to the live goods piece, which was about half of the lift that we're looking for. We also, this year, have gotten much better at what goes outside in our, like, Garden Centers versus what goes inside, you'll see all of our pots assortment out there this year. You'll see organic soils closely, cross-merchandise besides our fruit and vegetables this year. You'll see soil and mulches lined up in our side lots to be able to facilitate drive-through and load up there. 
 So we really got those things prime this year. And then as we look towards the back half, this year, you'll see us have much more expansive programs and things like harvest, and that's really blowing that out this year with mums pumpkin, a harvest product, Halloween product building a real kind of harvest destination in our Garden Centers. 
 And then similarly, you'll see Winter Wonderland really brought to life this year like we've not yet done for Christmas. So really excited about our Garden Center performance in the current spring period, but also as we look forward to the plans that we have, the team is doing an excellent job across all functions, really lining us up like -- as an example, on that Easter program, we shipped that to our DCs. It was the first time we ran plants through our DC. So a lot of learnings and a lot of continued execution there. 
Scot Ciccarelli: Is there a way to quantify the comp lift, though, Hal? 
Harry Lawton: Yes. So as we exit Q2, we'll have a much better sense of that, as you all will certainly recall, our -- over the last year, we said our Garden Centers were not performing at our expectations, because of the suboptimal spring conditions that we operated in last year, but that we had high expectations for this year, noted it is the year of the Garden Center, we're performing at those expectations. But again, 6, 7 weeks into spring with another 6, 7, 8 strong weeks to go. So more to come on that. But I think the short answer, I would say is they're performing at our expectations kind of season-to-date. 
Operator: The next question comes from the line of Peter Benedict with Baird. 
Peter Benedict: Just curious, I believe the Orscheln stores are earning the comp base in the second quarter. Just curious how we should think about that? Anything that those stores are cycling from a year ago standpoint that we need to think about? And kind of related to that or maybe a little unrelated, I was curious if Seth would talk a little more about some of the merchandising, innovation, newness that's in the store and maybe what he's most excited about as we look out over the balance of the year? 
Kurt Barton: Yes, Peter, this is Kurt. I'll start with your first part of your question and then hand it over to Seth to address the back end part of it. Orscheln is running right in line with our expectation. The first quarter, for instance, is still lapping a lot of the liquidation in Orscheln. And then in second quarter, as we transition, you begin to get outside of a lot of that liquidation. So as we converted into our point of sale, it's somewhat in line with the time frame of having all of the Tractor Supply inventory in the Tractor Supply system. So we begin to lap a more normal time frame, particularly in the back half of the year. 
 The Orscheln stores are running in line with a lot of our Midwest performance. We're pleased with Orscheln. Again, as we said when we made the acquisition, such a great value proposition opportunity for us, and it's playing out well in that. Some of the things that we've done, we've got 81 stores that were sized very differently. We've been able to rightsize and put many of the stores right in line with the Tractor Supply, 15.5 square foot. We've got some larger ones that allow us to do some test in those. But for the bulk over the period of the last 12 months, we've been [indiscernible] go in rebrand, put the fusion in there and make sure that it fits the best Tractor Supply streamlined, efficient shopping experience there. The team is engaging and learning a lot of the Tractor, the optimized Tractor process. 
 So across the board, very pleased with that. And Seth can be able to talk a little bit about some of the other aspects on the merchandising side with Orscheln. 
Seth Estep: Thanks, Peter, for the question. So I would just say, if we look out to the back half, I'd speak a little bit more broadly even outside of Orscheln, and even go back to kind of last quarter's call and how really talked about this being the most innovation that we've seen in our stores since the start of the pandemic with all the reset activity, newness, partnership with our supplier base, how their supply chains are kind of back to normal levels. 
 A couple of things that I would highlight that we're really excited about. First, I would just say, we talked about the strength in big ticket right now and Hal talked a minute ago about Tractor and riders. I will tell you that exclusive lineup that we have, like in the Toro, Havoc is performing very well. We see that innovation really responding, again, a product built for our life out here. Some things that we don't speak much about when we think about garden itself. Like we just launched a comprehensive assortment of Groundwork soils and our exclusive brands that have been very strong. We just launched Weber. Very pleased with that start and how that's going. 
 And then if you go to the back half, I would just say, we mentioned in the prepared remarks, some of the newness coming in pet, but even things like [ Iconic Classics ] where we'll be the first brick-and-mortar here in the U.S. launching [ Iconic Classics ]. Real Mesa, which has been a strong new digital brand, will be the first brick-and-mortar launching Real Mesa in pet food, but it's really targeted to kind of our consumer in that approach. And then just the Garden Centers themselves and all the new activity that we have going throughout the course of the year and just lean into those activities and then [indiscernible]. We think about Orscheln Farm & Home, like some of the learnings that we're getting out of outdoor [indiscernible], you'll see us launch new programs there midyear, getting really towards that kind of hunting customer, and we believe that those will be some categories that we can take across the Tractor Supply stores from a regional perspective and some localization perspective to really drive some business. 
 So again, just reiterate this kind of from 2024, lot of new innovation, a lot of newness and some most newness we've had over the past few years. 
Mary Pilkington: We've have maybe one more question just so that we're sure we end at the top of the [ board ] hour. 
Operator: Final question comes from the line of Peter Keith with Piper Sandler. 
Peter Keith: Nice results, by the way. So I wanted to kind of just ask around the broader economy. Housing remains quite sluggish. So how do you see the economic backdrop in general for the rural economies where you guys operate versus maybe the broader U.S. economy. We've been housing into that discussion would be helpful as well. I guess is rural outperforming? Or do you think performing more in line with the broader U.S.? 
Harry Lawton: Peter, thanks for the question. To start by the highest level, rural is very -- I think rural America is doing very well right now. We see our highest performance across our store base in rural America right now. If you look at the national statistics, you see net urban migration out -- kind of more migration coming out of cities than in. And you see that migration going to rural America. I think there's a variety of drivers for that, but that trend benefits us. 
 Stepping back, as we acknowledged on our earnings call last quarter, we acknowledge 2024 would be a non-algo for us and that we look forward to getting back to our long-term algorithm as kind of economic conditions became more neutral for us. Most importantly, the two economic conditions that were most impacting us with the transition from goods to services in the context of PCE spend and the notion -- and kind of disinflation. Those two trends are playing out as we expected at the beginning of the year. 
 As I commented, we're 100 basis points away from goods to services being at its pre-COVID levels. We've already traveled almost 400 basis points on that journey. So unclear where it will obviously stop, but you would say we're the vast majority of the way along on that journey. Disinflation, we've called out that. Q2 will be our bottom on that. And so we feel really good about that as well and that that's near behind us. And so the two major conditions that are affecting our business, you can see light at the end of the tunnel. 
 As it relates to housing more broadly, as we called out, last quarter, we really don't see housing as a primary driver of our business. And I know there's been some conversation around [ hire ] for longer [ run rate ], and the impact that might have on the housing market and then any delay in how 2025 results may occur. And obviously, talking about 2025 results right now is very premature for us. But we don't see the [ hire ] for longer kind of notion impacting our business anywhere near to the degree that it impacts those that are very housing sensitive. Thanks, Peter, for the question. 
Mary Pilkington: All right, everyone, that will wrap up our call today. I'm around and we're available for calls. And if you need anything, please don't hesitate to reach out, and we look forward to talking to you at the end of our second quarter. So thank you. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect your lines.